Operator: Hello and welcome to the NexPoint Residential Trust, Q3 2022 Conference Call. My name is Laura and I will be a coordinator for today’s event. Please note, this call is being recorded. [Operator Instructions] I will now hand you over to your host Kristen Thomas to begin today’s conference. Thank you.
Kristen Thomas: Thank you. Good day, everyone, and welcome to NexPoint Residential Trust’s conference call to review the company’s results for the third quarter September 30, 2022. On the call today are Brian Mitts, Executive Vice President and Chief Financial Officer; and Matt McGraner, Executive Vice President and Chief Investment Officer. As a reminder, this call is being webcast through the company's website at nxrt.nexpoint.com. Before we begin, I would like to remind everyone that this conference call contains forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995 that are based on management's current expectations, assumptions, and beliefs.  Listeners should not place undue reliance on any forward-looking statements and are encouraged to review the company's most recent Annual Report on Form 10-K and the company's other filings with the SEC for a more complete discussion of risks and other factors that could affect forward-looking statements. The statements made during this conference call speak only as of today's date and except as required by law. NXRT does not undertake any obligation to publicly update or revise any forward-looking statements. This conference call also includes an analysis of non-GAAP financial measures. For a more complete discussion of these non-GAAP financial measures, see the company's earnings release that was filed earlier today. I would now like to turn the call over to Brian Mitts. Please go ahead, Brian.
Brian Mitts: Thank you, Kristen, and welcome to everyone joining us this morning. Really appreciate your time and apologize for the technical issues you may have had dialing in. I’ll kick off the call and cover our Q3 year-to-date results, update our NAV calculation and then provide guidance. I’ll then turn it over to Matt to discuss specifics on the leasing environment and metrics driving our performance and guidance. Results for Q3 are as followers: Net loss for the third quarter was $26 million or a $0.02 per diluted share and total revenue of $68.1 million, as compared with a net loss of $5.4 million or $0.21 loss per diluted share in the same period in 2021, and total revenue of $56.4 million, which is a 21% increase in revenue. For the third quarter, NOI was $39.9 million on 41 properties, compared to $33.6 million for the third quarter of 2021 on 40 properties, a 19% increase in NOI. For the quarter year-over-year rent growth on renewals averaged 12% across the portfolio and year-over-year rent growth on new leases averaged 14.5%. Given where rental rates are in our markets for Class B apartments and equivalent single family rental product, we believe there is ample room for future outsized rent growth. For the quarter same store rent reached 19.4% and same-store occupancy was down 130 basis points to 94% as we continue to focus more on rate than occupancy during the quarter. This coupled with an increase in same-store expenses of 16.9%, which was calculated by higher year-over-year [indiscernible] plus an increase in same-store NOI of 13.1%, which compared to Q3 2021. Rents for the third quarter of 2022 on the same store portfolio were up 4.5% quarter-over-quarter. We reported Q3 core FFO of $21.8 million or $0.85 per diluted share, compared to $0.65 per diluted share in the same quarter 2021, for an increase of 31% on a per share basis.  For the quarter, we completed [649] [ph] full and partial interior renovations and leased 592 upgraded units achieving an average monthly rent premium of $163 and a 24.3% ROI, which is [203] [ph] basis points higher than our long-term average ROI in renovation. Inception-to-date in the current portfolio we have completed 7,354 full and partial upgrades or 48% of the total units, 4,853 kitchen upgrades and washer dryer installs and 10,451 technology package installations achieving an average monthly rent premium of $146, $49, and $44 respectively, and an ROI of 22%, 69.3% and 37.3% respectively, each of which helped to drive our NOI year-over-year higher by 19%. Results for the year is as follows: Our net loss for the year was $13 million or $0.51 loss per diluted share of total revenue of $194.6 million as compared to a net loss of 15.7 million or $0.62 loss per diluted share in the same period in 2021 and a total revenue of 160.7 million for an increase in revenue of 21%. Year to date NOI was 115.3 million on [41 properties] [ph] as compared to 93.6 million on 40 properties for the same period in 2021 or an increase of 23%. For the year, same store rent increased 19.9%, same store occupancy was down 140 basis points to 94%. This coupled with an increase in same store expenses of 10.3% led to an increase in same store NOI of 15.8% as compared with the same period in 2021. We reported year to date core FFO of 62.3 million or $2.43 per diluted share, compared to $1.78 per diluted share at nine months ended September 30, 2021 or an increase of 37%. For the year, we completed 1,834 parcel renovations, an increase of 101% [from] [ph] the prior period in 2021. [Indiscernible] NAV per share based on our current investment cap rates in our markets at [forward NOI] [ph]. We're reporting NAV per share range as follows: $70.04 per share in the low-end, $83.47 per share in the high-end and $76.75 per share at the mid-point. These are based on average cap rates ranging from 4.3% on the low-end to 4.7% on the high-end, which has increased approximately 44 basis points last quarter and [92 basis points] [ph] year-to-date to reflect a rise in interest rates and considerable increases in cap rates in our markets. For the quarter, we paid a dividend of $0.38 per share on September 30. And this morning, we announced that the Board of Directors has improved an increase in the quarterly dividend of $0.04 per share or a 10.5% increase to $0.42 per share. This marks the company's seventh consecutive annual increase. Since inception, we've increased our dividend by 103.9%. Year to date, our dividend was 2.13x covered by core FFO with a payout ratio of 47% of core FFO. Finally, before we discuss guidance, today, we are pleased to announce favorable improvements we are undertaking to de-risk our balance sheet, increase liquidity, and improve our financial outlook. First, we've executed a loan application and are in the process with refinancing 19 property level mortgages for KeyBank and Freddie Mac. In aggregate, this transaction refinanced 46.7% company's total outstanding debt and improved spread prices of 150 basis points over one month so for, and push these maturities out for 2032. Additionally, NXRT has executed 12 month extension option on the revolving credit facility, extending that maturity to June 30, 2025. The company expects to use approximately 217 million of cash out mortgage refinancing proceeds to pay down an outstanding principal balance on the credit facility and most expensive debt on our balance sheet today. These maneuvers will increase the company's weighted average maturity to 6.4 years, up from 3.3 years as of September 30. Additionally, this refinancing is expected to reduce NXRT's weighted average interest rate on total debt by 39 basis points to 4.33% [Technical Difficulty] impact over interest rate swap contracts. Accounting for the hedging and path to the swaps and [caps] [ph]. NXRT's adjusted weighted average interest rate is expected to be reduced to 3.29% to 2.78%. With the completions refinancing, the company has no meaningful debt maturities until 2025, which is the revolving credit facility, but as mentioned, we're using excess proceeds to pay down 65% of that consolidated share, reducing that maturity obligation. Turning to guidance, we’re revising guidance as follows: Same Store NOI, we're estimating 14.9% of the low-end, 16.1% on the high-end with a mid-point at 15.5%, which is a 30 basis point reduction from prior guidance of 15.8%, due to higher term costs.  For our core FFO guidance, we're estimating $3.05 per share in the low-end, $3.11 per share on the high-end with a midpoint of $3.08, which is a $0.07 per share increase of the prior midpoint, a [$3.08] [ph] per share that represents a 27% increase over 2021 core FFO of $2.43 per share. So with that, let me turn it over to Matt for his commentary.
Matt McGraner: Thanks, Brian. Let me start by going over our third quarter same store operational results. For the quarter, we achieved a 58.3% same store NOI margin, down 100 basis points year-over-year driven by lower retention and higher turn costs, but still near historical highs for our company. Rental revenue showed 11.3% or greater growth in all markets except Houston, whose performance lagged a bit as we shifted focus to promote occupancy during the disposition marketing process. While same store average effective rent growth achieved 19.4%, eclipsing our recent high watermark of 19.3% last quarter. Every market achieved effective rent growth of 12.4% or higher with Houston once again lagging the field. Excluding Houston, the weighted average would have topped 20% for the quarter. Charlotte registered the second lowest growth at 13.6%. Then we saw Las Vegas jump with 16.9%, Dallas to 18.8% all the way up to 26.2% growth in Tampa. Our [three Florida] [ph] markets, Phoenix, and Nashville all saw effective rent growth of 20% or more year-over-year for the third quarter. Third quarter same store NOI growth was again special across the board with the portfolio averaging 13.1%, driven by continued acceleration in total revenues, which hit 15% growth for the period, up 80 basis points sequentially over Q2. 7 out of 10 same store markets achieved year-over-year NOI growth of 14.7% or greater. Operating expense growth picked up again in the seasonally active third quarter registering [16.9%]] growth overall, largely driven by increases in R&M and turnover. Retention for the third quarter came down year-over-year to 48.8%, which led to a spike in turns to make ready. While we did see elevated overall turnover expenses, our turn costs registered $525 per unit, largely in-line with budget expectations. Operationally, the portfolio experienced continued positive growth in Q3 2022 with 9 out of our 10 markets achieving growth of at least 11.3% or better. Again, Houston lagged as a result of the divergent operating strategy promoting high occupancy and stable cash flow ahead of the anticipated disposition of those assets. Our Top 5 markets were South Florida 18.7%, Tampa 18.4%, and Nashville at 17.2%, Phoenix at 16.8%, Atlanta at 16.5%. Q3 renewal conversions were again 49% for the quarter with 8 out of the 11 markets executing renewal rate growth of at least 10% and no markets were under 7%. The leaders were again Tampa 18.7%, South Florida at 16.4%, Orlando at 15.7%, and Dallas Fort Worth at 12.4%. On the occupancy front, we are pleased to report Q3 same store occupancy closed at over 94%, despite a robust renovation output and as of this morning, the portfolio is 97% leased with a healthy 60-day trend of 92%. The occupancy strategy for Q3 was again more like our pre-pandemic strategy of pushing rents to force turnover in order to achieve, primarily two goals. The first was the gap on loss to lease, which narrowed to 7.6% from 12.5% in Q2; and two, renovate more interiors. As Brian mentioned, our occupancy strategy also led to 649 completed rehabs during the quarter, generating an average 24% on return on investment and our second highest rehab output since the inception of the company. As we [rent out] [ph] the year, we'll continue to place more emphasis on occupancy and we'll likely see some moderation in rents, but do expect continued strength in the low-to-mid teens for the rest of this year and high-single-digit growth in the 2023. To give some insight into October to date, we continue to see healthy leasing activity across our markets with the blended 9% growth on new leases and renewals on roughly 800 leases. Turning to 2022 guidance, the strength of rent roles, GPRs, total revenues allowed us to increase same store revenue guidance again for the third time this year to a range of [12.7% to 13.1%] [ph] with a midpoint of 12.9% that's up 90 basis points from 12% in Q2. Elevated new balance in the resulting term cost did lead to upward revisions to same store expense growth. So, overall, we were able to tighten our full-year same store NOI guidance to a range of 14.9% to 16.1% with a mid-point of 15.5%. Turning to investment activity and no surprise here, but the transaction market has closed significantly due to market volatility and current negative leverage in most commercial real estate property types. Deals under contract [pre-May] [ph] have seen 10% to 15% re-trades on valuation and sending spot cap rates to [4% to 4.5%] [ph] in our markets. That said, we've marketed our Houston portfolio for sale with the intention to generate approximately 100 million of net proceeds to pay down our credit facility and/or buyback our stock. We've obtained competitive bids from roughly 30 interested parties are working to select the buyer to begin contract negotiation with a target sale timeline of year-end or early Q1. Pricing from real groups is coming in around a 4.3% tax adjusted in place cap rate, which solves to an estimated 23% levered IRR at a 2.75% multiple on invested capital. Obviously, this level of execution coupled with our balance sheet renewing will provide greater strategic flexibility, increased liquidity and a further de-risking of our balance sheet. To that point on balance sheet, you'll note that we've highlighted several pages and the supplemental detailing balance sheet moves and sensitivity is based on the forward curves of SOFR and LIBOR as applicable. Obviously, in this interest rate shock environment, renewed emphasis and focus on rebalancing serve utmost importance to our investors, us being one of them. [Union isolation] [ph] or with this information, our earnings profile could be and has been misinterpreted. Thus, we wanted to publish a few slides on the exact hedges that are currently in place coupled with the impact of the impending financing with Freddie Mac, which is locked in and scheduled to close at the end of November. In our view, analyses of our company that we have seen obviously don't take into account these balance sheet maneuvers and extension of maturities now pushed out 6 plus years because [of course] [ph] only we have that information. But they also largely done account for [EBITDA growth] [ph] during a period of rapid inflation with a Fed not making housing affordability any easier to obtain. Indeed, our latest analysis continues to show a widening delta between Class A and SFR rents at $400 and $650 respectively per unit. Also recall, over the last 2.5 years, our rents did not trough negatively on a year-over-year basis. In fact, from Q1 of 2020, to Q3 of 2022, on 8,564 same store units, we have not had one quarter of decreasing rent growth in the pool over time. In fact, cumulatively, we have increased rents by 27.6% on those units. As your preferred metric as an investor is a debt-to-EBITDA ratio rather than LTV test of our hard to replicate portfolio of value-added workforce housing assets, and the fastest growing job markets in the U.S. and we believe investors should at least account for the EBITDA growth. And under our current projections through 2024, we see net debt to EBITDA organically narrowing to high-single-digits through 2025 before any dispositions. Further after this planned refinancing in Houston dispositions, the only two assets with debt maturities through 2024, Cornerstone in Orlando and The Venue on Camelback in Phoenix, both of which slated to be refinanced in Q1 as part of this larger refinancing effort, further pushing out 50 million of low LTV debt on highly performing assets. In closing, we do appreciate the balance sheet concerns are focused on them and firmly believe we're addressing them in this unusual environment while continuing to focus on our core tenants, peer leading same store NOI growth, earnings growth, and dividend growth. Thanks to our teams here for executing in this difficult environment. That's all I have for prepared remarks. Brian?
Brian Mitts: Yes, let's turn it over for questions.
Operator: Thank you. [Operator Instructions] We'll now take our first question from Buck Horne of Raymond James. Your line is open. Please go ahead.
Buck Horne: Hey, thanks guys. Good morning and appreciate all that extra color, that's extremely helpful. Question about, I mean, I'm just curious about understanding the language of you guys saying you've executed a loan application. I guess with your lenders and Fannie. So, I'm curious, I mean rates have been changing so rapidly here, is there any risk that the application gets revised or that this planned refinancing needs additional modification?
Matt McGraner: No, it's a good question, Buck. No, it's locked in an app and committed. So, we're just working through the loan docs, which are pretty customary for us at this point given our relationship with Freddie. And we've closed about 6 billion with them of great relationships, sat down face to face with them in Washington earlier this summer and pounded this out. So, we have we have a great deal of confidence here.
Buck Horne: Okay, okay. That's helpful. And just in terms of like rent growth seems to be decelerating everywhere across a lot of markets. Can you provide a little additional color in terms of even your new lease and renewal rate growth to be decelerating through October so far, what is it like in terms of the competitive landscape right now? Are you still seeing the same flow of new lease applications coming in or how are you planning on managing occupancy through the end of the year?
Matt McGraner: Yes. As we stated, we're going to put more [indiscernible] that's planned through the seasonally less active traffic season. We are still seeing great demand. We do think that there's a little bit of hit to consumer confidence across the board with all the recession fears and talks. I think that can be accounting for some of the lower demand in our numbers. But recall our numbers are against pretty tough comps. Our rents really started to accelerate in Q2 and Q3 of last year. And so, I was trying to make that point on the cumulative growth being almost 30% that didn't trough to kind of still account for some of that tougher comp, but overall, the leasing activity is really strong. I'd say, at this point in time the inflation that we're seeing across contract labor, for example, and other and other trades is really, kind of helping our – it's hurting on the one hand on our expenses, but these jobs are primarily our renter type. So, there – it’s kind of the time for blue collar to shine a little bit. So, we're seeing the ability to keep pushing those rents in the double digits. And like I said, I feel pretty good about double-digits in the next year.
Buck Horne: Appreciate that. If I can sneak one last one. There's just a striking disconnect right now between public market perception of where cap rates are headed or maybe where they're at currently versus, kind of the numbers you guys are quoting and maybe what you're seeing in the bidding process for your assets right now. What do you think explaining that disconnect and does it make sense, if you have a high degree of confidence that your NAV is correct, does it make sense to further accelerate stock repurchases with some of the refinancing proceeds?
Matt McGraner: Yes, that's a great question. I think if you look at all the long-term analyses of cap rates, it's really driven by capital flows and GDP growth, and less on long-term interest rates. In the short-term, interest rates do affect transaction activity and especially with the velocity with which we've seen the Fed raise here causing really just a shock in transaction activity. It's really, really down. So, there's not a true, although we have our Houston process going on, there's not really a true transaction environment where people are wanting to sell. If they don't have to sell, they're not selling, sort of pushing off sales to next year, unless there's a fund of life or maturity issue. For us, I think that the disconnect is a little bit more pronounced through the leverage profile, which we're trying to remediate here and think we have. That being said, with the proceeds from Houston, the first thing we're going to do is pay off the revolver. And then if we wanted to lever backup or sell more. I think you probably see us sell more assets to buy back stock rather than levering up on the facility. It's kind of shooting ourselves again. So, I think that's the use of proceeds that the pay down of the credit facility. Again, on the cap rate differential, I think we sit at a 6, [indiscernible] implied cap rate. The big institutional investors that we speak with, the [indiscernible], they're now starting to get a little bit more into the unlevered return profile. They're starting to look at what level do we get back into the market and just don't even use leverage because those groups have the ability to finance assets that others don't. And I think that informs our NAV because our portfolio is really, really hard to replicate. We have the 10, 11 fastest job growth markets, scale in each of those markets at an affordable price point with value add potential. So, our belief is that our NAV should gather at that [4:3 to 4:7] [ph] right now on a spot cap rate basis even in this environment.
Brian Mitts: Hey, Buck. It's Brian. I also note that the board increased our share buyback to 100 million.
Buck Horne: Got it. Very helpful guys. Appreciate the color.
Matt McGraner: Thanks, Buck.
Operator: Thank you. We'll now move on to our next question from Rob Stevenson of Jeannie. Your line is open. Please go ahead.
Rob Stevenson: Good morning, guys. Have you seen any uptick in bad debt or delinquencies over the last few months?
Matt McGraner: Not realized bad debt. There are, I'd say over the past quarter or two, there's a little bit more slow payers, but ultimately they pay. I'd say it's not meaningful though, it’s 40-ish basis point, 25 basis points to 40 basis points.
Rob Stevenson: Okay. And then we've been hearing from some of the smaller private operators and some third party property managers have been trying to push up their fees given the inflationary cost pressures. Are you seeing this with your property management company? Is there any increase there going to happen there going forward? You obviously are bigger in size.
Matt McGraner : Yes. We maintain that. Yes, we don't see any increase.
Rob Stevenson: Okay. And then the dividend increase, were you up against taxable earnings, that sort of forced you to do that or was that just something the Board wanted to do?
Brian Mitts: It’s something we've done every year during this quarter and so we want to maintain that consistency. And our coverage is fairly low. So…
Rob Stevenson: Okay. How did you guys evaluate increasing the dividend versus using those funds to buy back stock?
Matt McGraner: Yes. I think given the dollar, the nominal dollar amount and sort of the tenants of our company, we thought the risk reward was to continue to show dividend growth and then to the extent that we wanted to buy back stock at the Houston and then further dispositions are going to fuel that versus couple million here and there.
Rob Stevenson: Okay. Thanks guys. Appreciate it.
Operator: Thank you. [Operator Instructions] We'll now take our next question from Mike Lewis of Truist Securities. Your line is open. Please go ahead.
Mike Lewis: Great. Thank you. I have some questions about interest expense and the refinancing. So, first, in the third quarter, your interest expense was about $11.8 million. It looks like your guidance for 4Q is 18 million, I assume maybe that 18 million includes the cost swaps or fees with the new loans. How do I reconcile those two numbers?
Brian Mitts : Well, I think there's also the value for swaps that's flowing through into the FFO. Is that what you're getting at?
Mike Lewis: Yes. I mean, I would guess, right, that the 11.8 million in 3Q, there's a benefit there from the swaps that's offsetting. Still that was considerably lower than you guys guided to. And then the 18 million for 4Q, I don't think that's a run rate, but how much – what's in that 18 million for 4Q? Are there one-time costs in that?
Brian Mitts: Yes. Let us look into that and come back to it. I don't want to get the wrong answer.
Mike Lewis: Okay. And then just on the all-in cost of the refinancing after the swap, so you're talking about your weighted average cost of debt down to something with the two handle. When I look at the refinancing, right, SOFR plus 155, that's all-in above 5%. I don't know what swaps cost, but, you know, maybe help me out there because that sounded like a pretty low interest rate refinancing, especially in this environment?
Matt McGraner: Yes. So, you recall the swaps that we have in place are not really – they're not tied to any specific deal. They're just kind of corporate level swaps. So, they were paying a forward rate that we locked in years ago at, I think, an average of 1-ish percent, I can pull it up.
Mike Lewis: Yes, I'd say that in your [indiscernible]. So, you're not putting – are you not putting a new swap on for the…
Matt McGraner: No, the swaps, remain in place. And given the lack of financing going on in the second quarter and third quarter, Freddie and Fannie are both behind their production caps. And so, there's not a ton of borrowers out there looking for floating rate debt and a rising shorter-term interest rate environment, so the spreads, we were able to negotiate down and still have the benefit of our swaps, which are [indiscernible] to our company only. So, we were able to kind of – of the spread against the industry rate that we have in place to generate that sub 3% all-in interest rate for the next few years.
Mike Lewis: Okay. I'll follow-up on the 4Q interest expense. And then just lastly, I wanted to ask, you mentioned about higher expenses and you specifically noted repairs and maintenance, you know I've had people ask me about insurance costs after the hurricane, any other color you could add on just expense pressures?
Matt McGraner: Yes. Our biggest expense pressure right now is contract labor on the R&M and turnover side. Finding qualified trades, when you need them is the hardest part that we see right now. That specific category is the leader in expense inflation for us at [25% plus] [ph]. So, that's driving a lot of those R&M and turnover costs. Our insurance, I'll let Mitts speak to, but I think it’s fairly [locked in] [ph].
Brian Mitts: Yes. We just renewed earlier this year. We got pretty favorable rates. All things considered; we're starting new renewal process for next year. And it doesn't look like it's going to be out of control. So, still work to do that process for 2023.
Mike Lewis: Okay, great. Thank you, guys.
Matt McGraner: You bet.
Operator: Thank you. [Operator Instructions] Thank you.
Kristen Thomas: Sounds like we're done. Again, I apologize for the technical difficulties here to switch companies and a little hiccup, but appreciate everyone joining.
Operator: Thank you very much. Ladies and gentlemen, this concludes today's call. Thank you for joining today's call. Stay safe. You may now disconnect.